Operator: Good morning. Welcome to Morgan Stanley Second Quarter 2025 Earnings Call. On behalf of Morgan Stanley, I will begin the call with the following information and disclaimers. This call is being recorded. During today's presentation, we will refer to our earnings release and financial supplement, copies of which are available at morganstanley.com. Today's presentation may include forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially. Morgan Stanley does not undertake to update the forward-looking statements in this discussion. Please refer to our notices regarding forward-looking statements and non-GAAP measures that appear in the earnings release. This presentation may not be duplicated or reproduced without our consent. I will now turn the call over to Chairman and Chief Executive Officer, Ted Pick.
Ted Pick: Thank you, and good morning. Thank you for joining us. The second quarter unfolded with 2 distinct halves. The first half began with uncertainty and market volatility associated with the U.S. trade policy and the second half ended with increasing engagement and a steady rebound in capital markets. For the quarter, the Firm delivered $16.8 billion in revenue, $2.13 in EPS and an 18.2% return on tangible, completing a very strong first half of 2025, $34.5 billion in revenue, $4.73 in EPS and a 20.6% return on tangible. With 6 sequential quarters of durable earnings, $2.02 $1.82, $1.88, $2.22, $2.60 and $2.13, Morgan Stanley results have a cadence that reflects consistently higher levels of performance as we execute our strategy through different market and macro backdrops. The results speak to the power of our Integrated Firm and the alignment of the Firm's leadership team. With the expectation of a more constructive regulatory backdrop, we are intensely focused on generating returns on incremental capital deployment and investing for growth across the Integrated Firm globally. Total client assets across Wealth and Investment Management climbed to over $8.2 trillion, reflecting our scale and gaining ground toward our target to exceed $10 trillion. In Wealth, an excellent quarter. Profits before tax reached a record $2.2 billion on margins of 28% plus. Net new assets of $59 billion were strong despite higher seasonal tax payments. And fee-based flows of $43 billion demonstrate the value of advice amidst the complex environment and support durable growth of recurring fee-based revenues. Ongoing investments in our world-class platform, including investments to support our advisers, a build-out of E-Trade capabilities and the expansion of our central workplace channel serve as an engine for future growth. In Investment Management, our leading -- industry-leading parametric platform as well as strong Fixed Income strategies have successfully positioned this business to achieve consistent long-term inflows, generating a positive $11 billion in the second quarter. Our Institutional franchise delivered revenues of $7.6 billion supported by our leading equities markets business that reached $3.7 billion top line. Despite a slowdown in strategic and capital markets activity for half of the quarter, our multiyear investments in our client franchise and global footprint are yielding results. A resumption of investment banking activity in June highlighted that clients turned to Morgan Stanley as market windows reopen, and serve as momentum heading into the second half of 2025. Board rooms appear more accepting of ongoing uncertainty broadly, and we are leaning into our strategy to help clients navigate bouts of volatility. While we're still in the earlier stages of the Investment Banking recovery, the outstanding performance in equity underwriting this quarter is a positive leading indicator. Further, while there's clearly more work to do we are beginning to see bank regulatory reform progress. The new SLR proposal and potential for CCAR reform suggests the regulatory body continues to constructively reevaluate the total capital framework. With a CET1 ratio of 15%, we are 200 basis points plus above our forward capital requirement, which affords us ongoing flexibility to deploy capital. We now have a $1 per share dividend. Incremental capital deployment will range from supporting clients, growing our businesses, opportunistically buying back stock and evaluating inorganic opportunities where there is clear strategic alignment, all through the lens of generating strong and durable returns for our shareholders. Looking ahead, we remain constructive on the market environment. Our strategy to raise, manage and allocate capital for clients across the Wealth and Institutional universe is working. Amidst continuing economic and geopolitical uncertainty, we are intensely focused on continuing to deliver outstanding durable results for clients and returns for shareholders. Sharon will now take us through the quarter in greater detail.  Over to you.
Sharon Yeshaya: Thank you, and good morning. In the second quarter, the Firm produced revenues of $16.8 billion. Our EPS was $2.13 and our ROTCE was 18.2%. The market backdrop varied materially over the course of the quarter, impacting investor sentiment and prompting clients to seek advice and reposition portfolios in response to evolving trends and themes. Amid this backdrop, our business performed very well. We benefited from our multiyear investments to drive organic growth in Wealth and Investment Management and to support our global footprint across the integrated investment bank. Deepening partnerships across the Integrated Firm positioned us well to capture momentum in the quarter. The Firm's year-to-date efficiency ratio was 70%. Efficiency gains remain a product of continued prioritization of our controllable spend and savings from prior space exits, self-funding investments and driving increased productivity by leveraging technology to support the Firm's strategy. Improved efficiency also comes despite higher execution-related costs on the back of elevated volumes broadly. Now to the businesses. Institutional Securities revenues were $7.6 billion, supported by our Equity and Fixed Income markets franchises, and regionally, by period-over-period strength in Asia and EMEA. Results benefited from our ongoing investments in talent, global footprint and technology. enabling us to capture activity levels and meet clients' need for advice. The underlying businesses performance varied throughout the quarter. Our markets business captured client flow opportunities early on when activity levels were elevated. Investment banking paused for April and the first half of May, but activity recovered alongside rising asset levels. A rebound in performance of IPOs that had been priced earlier in the year supported prospective issuers to successfully come to market, further establishing investor and corporate confidence. As a result, the integrated investment bank ended the quarter with strength. Investment Banking revenues were $1.5 billion. Equity underwriting gained momentum following multiple years of subdued activity. And its rebound partially offset the year-over-year declines in debt underwriting and advisory. Regionally, strength out of Asia Pacific was supported by a healthy mix of activity across equity products. Advisory revenues were $508 million, reflecting lower completed activity. Equity underwriting revenues of $500 million improved meaningfully versus the prior year, driven by broad-based strength across products. Despite a slowdown in April and much of May, convertibles, follow-ons and IPO issuance all accelerated towards the end of the quarter as global issuers and investors gained confidence amid a market rebound. Fixed income underwriting revenues were $532 million. Results declined versus the strong comparative period, primarily due to lower noninvestment grade issuance. The M&A backlog continues to build across regions with a thematic focus on growth, supported by health care and technology. With a similar focus on growth companies, our IPO pipeline is balanced between the Americas and Asia, and issuers are poised to launch [indiscernible] to open markets. We have been investing in strategic hires and corporate lending to expand and deepen our coverage footprint. And our results and recent announcements prove ongoing progress. As we continue to support clients who are increasingly accepting of uncertainty and in greater need for advice, we are well positioned to capture share as Investment Banking activity accelerates. Turning to Equity.  Our franchise continues to deliver robust results with revenues of $3.7 billion, reflecting growth across products and regions. Volatility around changing trends and the eventual rebound in markets required clients to reposition, which drove heightened engagement globally. Prime brokerage revenues were especially strong, achieving a record. Average client balances rose to all-time highs, driving the strength of the financing revenues. Cash results increased versus the last year on higher volumes across regions with strength in EMEA. Derivative results rose versus the previous year as the market -- excuse me, as the business actively supported clients, particularly around tariff-related market events, during the period. Fixed Income revenues were $2.2 billion, driven by the strength in macro products. Macro results increased versus the prior year. The business benefited from an increase in client hedging, trend in foreign exchange markets, shifting interest rate expectations and wider bid offer spreads, particularly early in the quarter. Micro results were solid. Strength in secured lending revenues, which continue to grow on the back of higher balances, were partially offset by heightened volatility and widening credit spreads at the beginning of the quarter. Commodity results primarily reflected lower revenues in power and gas, and fewer structured trades compared to the previous period. Other revenues were $202 million. The comparison period benefited from higher net interest income and fees on corporate loans. Turning to ISG lending and provisions. In the quarter, ISG lending provisions were $168 million, driven by portfolio growth and a moderately weaker macroeconomic outlook. Net charge-offs were $19 million, primarily related to several commercial real estate loans, which were largely provisioned for in previous quarters. Turning to Wealth Management. The business delivered on key metrics. Strong net new assets, exceptional fee-based flows and healthy lending growth reinforced our differentiated Wealth Management franchise. Revenues were $7.8 billion, inclusive of $292 million of DCP. And the margin continued to expand, showcasing the inherent operating leverage of our scaled platform. Results reflect our investments focused on growth and our strong track record to help clients understand the value of advice. Moving to our business results in the second quarter. Pretax profit was a record at $2.2 billion, and the pretax margin was 28.3%. DCP negatively impacted the margin by approximately 70 basis points. Higher margin shows strength of our asset growth achieved by our investment-led strategy. The underlying business progressed towards our long-term goal of 30%. Asset management revenues were $4.4 billion, up 11% versus the prior year, driven by higher market levels and the cumulative impact of consistently robust fee-based flows. In the quarter, fee-based flows were very strong at $43 billion, marking a record, excluding previous asset acquisitions. Clients continue to shift assets from adviser-led brokerage accounts to fee-based accounts, and we continue to invest in overall education, technology and product innovation to benefit clients and support ongoing asset migration. Fee-based assets now stand at $2.5 trillion. Net new assets in the quarter of $59 billion were inclusive of a $22 billion headwind from tax outflows and reflect growth across channels. Adviser-led flows were particularly strong, originating from new advisers who are attracted to the strength of the Workplace as well as assets that originated from Workplace. Transactional revenues were $1.3 billion. And excluding the impact of DCP, revenues increased 17% versus the last year. Retail engagement was especially strong in April as clients responded to elevated market volatility, and activity persisted with momentum at the end of the quarter. Bank lending balances increased sequentially to $169 billion, predominantly driven by growth in securities-based lending. Steady growth in lending shows our progress in deepening client relationships by offering portfolio solutions, addressing both sides of the clients' balance sheets. Household lending penetration grew across our adviser-led channel, with greater engagement from advisers and clients. Total deposits increased $383 billion. And net interest income of $1.9 billion was flat sequentially. These results reinforce continued stability in sweep balances. Throughout the quarter, clients steadily deployed cash into the market, indicating confidence in the forward look. As we look ahead to the third quarter, we would expect NII to remain around recent levels, subject to changes in the policy rate. Along was $6.5 trillion of client assets, our second quarter performance demonstrates that our strategy is working, benefiting from years of sustained investment and consistent execution. Our scale positions us to continue to innovate and invest in a secularly growing market. Today we have 20 million individual relationships across our 3 channels, and the opportunity to deliver incremental advice and solutions across channels and our platform remains ahead of us. Turning to Investment Management. The business delivered strong results with revenues of $1.6 billion, increasing 12% year-over-year. Total AUM reached a record at $1.7 trillion. Our franchise generated positive long-term net flows of $11 billion, bringing year-to-date inflows to $16 billion. Strong organic growth is the product of leveraging our global distribution with a particular emphasis in fixed income. We are also continuing to see strong demand for Parametric's customized portfolios, especially among our wealth management client base. Asset Management and related fees were $1.4 billion, driven by higher average AUM across asset classes. Performance-based income and other revenues were $118 million, largely driven by gains in infrastructure funds. Liquidity and overlay services had outflows of $27.3 billion, reflecting institutional outflows, partially related to deployment into markets and corporate CapEx. Overall, we are seeing the benefit of our investments and continued focus on global distribution capabilities. By leveraging the Integrated Firm, we are focused on our ability to generate sustainable growth in long-term flows and fee-based revenues. Turning to the balance sheet. Total spot assets increased $54 billion from the prior quarter to $1.4 trillion. Our standardized CET1 ratio stands at 15%. Standardized RWAs increased sequentially to $523 billion as we actively supported our clients. Our stress test results reflect the durability of our business model and show consistent improvement in our results over the past 5 years. We announced a quarterly dividend increase of $0.075, bringing our quarterly dividend per share to $1. Our quarterly tax rate was 22.7%, reflecting our global mix and level of earnings. We expect a tax rate of approximately 24% in the second half of this year, consistent with our initial guidance. The second quarter results were strong. As we look ahead, we are entering the third quarter with momentum. Investment Banking pipelines are healthy, dialogues are active and markets have proven resilient. And Wealth and Investment Management continue to gather assets with total client assets now reaching $8.2 trillion. With that, we will now open the line up to questions.
Operator: [Operator Instructions] We'll take our first question from Ebrahim Poonawala with Bank of America.
Ebrahim Poonawala: I had a question.  I think in your prepared comments, you mentioned incremental return on capital. And as we think about whether this franchise -- you obviously have your targets out there. But when we think about this in the context of changes on the regulatory backdrop, the work you've done to integrate the franchise globally across businesses, how should we think about the incremental return on the capital? Could this be an even more profitable bank than what we have seen so far? Would love your thoughts around both in terms of what this franchise is capable of and what the regulatory environment may mean for future profitability.
Ted Pick: Well, I think that is the number one question, so it's great to have you open the call with that, because it's what we're much focused on: what the franchise can afford and what the environment can afford incrementally via regulatory reform and animal spirits synchronizing around the world. Those are both clearly tailwinds. The business model, as we sit here, is generating earnings growth and incremental excess capital, which continues to grow our flexibility. We are, as we speak, deploying additional capital into the core businesses. So the organic development is happening and will continue to happen where we think there's operating leverage with smart risk architected deployment around clients. Core examples of that would be in Investment Banking, we've got a world-class sales force, coverage universe that we continue to add to. We are deepening the footprint with corporates and clients through additional credit extension. And there is clearly more to do there around our relationship and event. And so Investment Banking is right at the top of the list, along with Wealth, as we go into the next stage of the cycle. Second is Wealth itself. I've called that out on the last number of calls with Sharon. There is more to do with these 20 million relationships that are growing every day, and in Workplace around broadening our lending capabilities in a prudent way. You see the tick up year-over-year. That is going to continue to happen as we supply clients with additional breadths and depths of products. And then third area that we are much focused on is the markets business, specifically financing businesses that are durable where we are well known to the client and vice versa, where we can act as a leader in places like prime brokerage and secured lending. So Investment Banking writ large, Wealth Management writ large and markets writ large, that covers a lot of the business where we can clearly put additional capital to work. That is a process that has begun and it continues to intensify as we generate incremental capital with each passing quarter. Inside of that, there are inorganic opportunities that come by along the transom. And we are looking at them, of course. But the bar is super high. We have a record of integration that is a good one. But we have humility around what it takes to make integrations work. And so the bar with the management team is a high one. But we look at those integrations, those potential tuck-ins in the context of what the core strategy affords. Are they acquisitions that actually are near the bull's eye or better on the bull's eye, that would actually help grow the core strategy across wealth and investment management and the investment bank such that we can continue to grow capacity that way? So you're hearing, Ebrahim, both organic and inorganic. But the specific answer to your question on the organic opportunity is that the first half affords an example of the operating leverage that the Firm is able to demonstrate where the environment has been murky. When the environment stabilizes a bit, we are one-pronged through the 3-pronged administration effort, we would expect areas like the M&A business and underwriting business to pick up. And that will continue to afford us additional operating leverage. So we are contributing to that. The dividend is number one and will continue to be paramount. The cadence and the increase of the dividend dating back to when it was script all the way to now $1 a share and a 2.8% yield at current prices, is one that we will continue to put at the top of the list for its durability and something that our core investors have come to expect as a key signpost of the core strategy itself. And then finally, the buyback. We are at a $4 billion pace per annum. That is obviously a lever that we will use tactically and accordingly. So that is some detail. But clearly, you're hearing that we're giving this quite a bit of thought because, as you rightly point out, we printed 15% CET1, we are at 13% with clearly indications that you see from the most recent that the numbers are going in our direction on the back of continued regulatory reform. So that kind of buffer, we should be thinking about this and taking steps, and we are as we speak.
Ebrahim Poonawala: That was very comprehensive. One quick follow-up. I think both Sharon and you implied there's a higher tolerance across boardrooms for the macro volatility. We are seeing some pickup in rhetoric around tariffs. Do you think this is different than what we saw in March and April where there's a huge hit to corporate sentiment around deal activity that is unlikely or less likely to happen on a go-forward?
Ted Pick: My sense in recent weeks is that if the, just to use the word cadence again, if the cadence of tariff policy execution is such that it is viewed to be sort of within broadly expected parameters, and obviously, the part of the negotiation is for the administration to optimize results, but if there's a sense that it is within sort of bands of outcome and that the negotiation will take a certain amount of time as appropriate, but it's sort of quantifiable, that is clearly going to be a catalyst for further clearing of uncertainty. What is interesting in the last month has been that the strategic activity has really started to pick up. And in fact, the strongest sponsors of the group because, as you know, sponsor activity has consolidated to the winners, they are also actually quite aggressive on the acquisition [indiscernible] the fact that an IPO market on the back end is working means that the value chain seems to be in pretty good shape. So I think that if we continue along into the fall with what we saw in the last month, it should be a quite strong second half going to '26.
Operator: We'll move to our next question from Dan Fannon with Jefferies.
Daniel Fannon: Ted, I wanted to follow up on your previous comments just around inorganic. It sounds like that these would be more tuck-in or complementary type of deals if they were to happen. But if you could talk to maybe financial or strategic factors that would take you to over the threshold to get to completing a transaction, that would be helpful.
Ted Pick: Yes.  It has to fit squarely within the strategy to raise, manage and allocate capital for clients. We have a record of integration. But we are not looking to make acquisitions just for the sake of it. The opportunity set within Morgan Stanley proper is extraordinary. As you look across Wealth Management, the entire funnel is showing growth up and down even at this stage of uncertainty. We're seeing inflows and growth in Investment Management [indiscernible] full opportunity that underlies e-trade and Wealth Management. And the Investment Banking franchise is a world-class franchise that, after more than a dozen years of financial repression, is now actually able to go out and do its thing. This has been a franchise that we have nurtured as a global business. We're one of only a very small number, as you know, that are running global businesses. And the ability to execute complex, cross-border, strategic transactions is now right in front of us. So the organic opportunity set is enormous. If there are tuck-ins, which we see many come through that can actually add to the operating leverage to the point without actually distracting us from the opportunity set in front of us, sure, we're looking at them. But the name of the game is to just continue to prosecute against the strategy deck that you saw. We are marching our way durably. Obviously, asset prices can move around. But $10 trillion, we're on our way. You see the margins in Wealth. They're now in the high 20s. You see that the efficiency ratio for the first half was 70%. And you see that we're durably very judiciously growing share across the investment bank. That is what we set out to do, and we intend to just stick to our knitting and get that right and generate real returns and incremental capital for our shareholders.
Daniel Fannon: Great.  That's helpful.  And then Sharon, can you expand upon your comments around M&A? You highlighted new adviser strength, but maybe talk about flows more broadly. And then also just the characterization of the recruiting backdrop today for new advisers joining the platform.
Sharon Yeshaya: Sure.  Why don't we take it step by step? So just recruiting generally, I'll take it from the bottom, is it's obviously a great platform. We have recruits that are interested in what we've been investing in. So that's been great to see. We talked about it in the last call. I think for NNA, which is really wonderful, is to see that we have strength in all 3 channels. It's not just one channel. From the adviser-led side, we do have recruiting, but we also have flows coming in from Workplace. So I've given these numbers before, but you start from a Workplace perspective. And we have new flows that generate from Workplace that are going into the adviser-led channel. And then those are actually also becoming fee-based flows. So we're seeing that increase of the net new assets are really coming in originating from the Workplace. And then we have the new flows that transfer, have both the existing flows but 70% of the flows that come from Workplace that originate from Workplace is actually net new assets firm. So that's an incredible number when you think about the net new assets and how they're generating from what we intended to see in the investments in Workplace. We were looking at -- I'm just -- step back not just on NNA, just so that you do have these numbers. We used to say we had about $16 billion per year that we're originating from Workplace. This year, we're running ahead of those numbers. It just shows you the strength of all of the channels. So adviser-led is coming both from existing advisers as well as recruits and the origination of Workplace. And then self-directed, we should talk a little bit about E-Trade, we're seeing really great flows from the self-directed channel year-over-year improvement there. That comes from investments in marketing and business development. We've put in new tools like E-Trade Pro. You're seeing all of that marketing pay off across the channels. And I think that understanding that this is all happening against the backdrop of a tax season is encouraging. And then the fee-based flows, which you didn't ask about, but I'll just touch on, is also -- are very, very strong, just underscoring how well the funnel is working.
Operator: Our next question comes from Devin Ryan with Citizens Bank.
Devin Ryan: I have a question on stablecoins and kind of the broader theme of tokenization. Obviously, stablecoin legislation likely to pass probably in short order here. You have market structure legislation that's probably not too far behind. So just love to hear about how you're thinking about the opportunity for Morgan Stanley. Is this something that you think could be big or is it just kind of an evolution of market structure? And then are there any specific areas that you're focused on as we get more regulatory clarity?
Sharon Yeshaya: Yes, sure.  I'm happy to take that. As you would expect, we're actively discussing it. We're looking both at the landscape and the uses and the potential uses for our own client base. But it really is a little early to tell, especially for the businesses that we run versus businesses that you might see from competitors on how stablecoin would necessarily play in. But we're very, very close to the landscape, we're understanding this, as well as the evolution across all technological advancements. AI, crypto, you name it, all of them sort of have an ecosystem that we're very focused on.
Devin Ryan: Okay.  Great.  And then just a follow-up on the trading environment. Obviously, second quarter, there's a lot going on between tariffs and geopolitical, so it's a bit hard to gauge how much maybe activity was elevated relative to repositioning for institutions compared to maybe a more normal second quarter. So just love to hear about how the market backdrop is evolving. Sharon, I heard comments about markets have been resilient in the third quarter thus far. So I'm not sure if that was reference to trading. But just a little bit of flavor around the market backdrop? And then if you can weave in as well, just some of the efforts you are taking to kind of improve market share, obviously doing more on prime brokerage as well. So I'd love to just kind of weave that in as well for the question.
Sharon Yeshaya: Sure.  Why don't I take, again, I'll take the bottom question first just in terms of improvement of market share? We have been actively investing in the global franchise. And that global nature is one that you can see bearing out in the results. I called out specifically even in equities record coming from EMEA. There have been previous quarters we've talked a lot about Asia. And when we talk about Asia, you speak about it as 1 region, but there are multiple that are involved in that. And the relationships that we have with MUFG, what we're doing in India, Greater China, all of that becomes relevant. And that is what we think of when we talk about moats around the business, just where we continue to invest and see a lot of improvements in results and an ability to gain durable share. In terms of client repositioning and momentum, it was not just specific to the institutional business. The retail business was extremely strong as well. I spoke about it on the April call about seeing resilience from retail engagement and a continuation of a "buy the dip" mentality even through the tariffs. You'll probably remember that. And so that continued throughout the course of the quarter. It wasn't specific just to April. You saw inflows to markets sweeps, et cetera, across the entire course of the quarter. And I even mentioned it in the liquidity flows. When you think about liquidity in IM and where those outflows went. They went into market. They went into CapEx exposure. So the repositioning and the rebalancing is on the institutional side throughout the quarter across the equities businesses, across the retail businesses and across the IM business. And we're there to capture all of that.
Ted Pick: Yes.  What I would add to that is, in the case of equities, we've talked for many years about what it takes to run a global, fully laid out equities business, the old 9 boxes where you have prime brokerage, derivatives and, importantly, cash and then the 3 regions. And the cost to run that business, just dollars in the ground to turn on the lights every year, those costs, as you know, have only gone up. And so not surprisingly, the top of the competitive heap is able to inure operating leverage and above-market returns and the rest have to slug it out just to sort of make the nut. What is remarkable about this year or worthy of calling out, and Sharon made reference to it, is this quarter in Europe, we had a record quarter in equities. In the first half, we've had a quite extraordinary half in Asia, which is obviously Hong Kong and Tokyo lead. So it's not just about the electronification of the product and the span of the product palette, but it's also the ability to run the business globally. I'd also just touch on Fixed Income, not so many years ago, we were talking about trying to get to $1 billion a quarter. And now Fixed Income has quietly put up $2 billion a quarter through every imaginable kind of environment for a whole bunch of quarters. So part of the strategy here is to not only generate operating leverage, but to impute durability in the results that actually are in line with how we want the strategy to be presented around clients. The last piece to this, which is absolutely critical, is this idea of the Integrated Firm where, as appropriate, we are knitting clients across the plant, across the world together, whether it's in getting them access to capital, to ideas, financing, strategy, the whole thing. And that is most dependent on a culture at the very top of the house where the capital, to the earlier question, that is deployed and the resourcing that we add on is good for the franchise as a whole as opposed to nurturing just one particular division. And that is obviously something that is years in the making, and we think will prove to be a real competitive advantage as we flex some of that incremental capital.
Operator: We'll move to our next question from Glenn Schorr with Evercore.
Glenn Schorr: Just a follow-up on that, Ted. I appreciate all the comments you made to the first question. I was curious a little bit about why Asset Management is not included in that potential deployment of capital being that you're already great and hopefully getting greater in Wealth Management. Same kind of comment across banking and trading. And I felt like from a total dollars of capital, you could probably do the most help in terms of the Asset Management franchise. And maybe just put that in the wrapper of how you think about balancing capital deployment and making sure asset and wealth are still the big primary identities of driving the stock and the returns. So it's basically a balancing the mix of businesses, if you will.
Ted Pick: Yes, it's actually a good pickup there. That wasn't intentional. In fact, the Investment Management numbers this quarter, as you know, were really quite outstanding with $11 billion of inflows and then the continued growth of Parametric. I think it's fair to say that the opportunities across Investment Management, which is your question, Glenn, on sort of a stand-alone basis, given the fragmentation of the industry and given how some folks are doing a lot better than others, there are many, many acquisition opportunities in the asset management space, as you are well aware. We are being very careful about that. To the extent we can add an Eaton Vance before people have figured out what Parametric is all about, or we can make an acquisition of Solium before people understand that, that is the linchpin to Workplace, if we can add E-Trade as filling out the funnel, I think part of the thinking is to not only imagine what the asset is worth in and of itself, but what the platform effect to the core strategy is from being inside the Wealth funnel or being inside the Investment Management universe. And I think you know well that Investment Management roll-ups have had very mixed experience. So to the extent that we can bring in a strategy or bring in a business that fits with Morgan Stanley culture, that fits with our client perspective and can afford us incremental operating leverage, well, sure, that would absolutely check a whole bunch of boxes, it could give us incremental margin, clearly additional AUM. But I am much focused, Glenn, on folks hearing that, first and foremost, we're really focused on what is in front of us in our operating and management committee and leadership meetings around the firm every day. Because there is a ton of demand for incremental capital, incremental resources that is coming straight from clients through our people to us. So the nurturing of what we have in the core strategy of raise, manage and allocate capital to clients affords us a heck of a lot of runway. But you're right, there are Investment Management strategies and opportunities. Some of them are very clear and some of them may be more hidden gems, like a Solium, which I thought was ingenious, that can be brought in to actually help transform where the Firm is going to go with clients.
Glenn Schorr: I appreciate that.  Sharon, if I could ask a quick follow-up on your comment around NII, around steady and the current rate backdrop. There's like 5 or so rate cuts expected through now through the end of next year. I mean you have offsets, your business probably does well if rates are going down. But can you talk about the NII in a forward curve setting or however else we should think about the balancing of lower rates?
Sharon Yeshaya: Sure.  I won't give a specific guidance as you probably expect, Glenn, as it relates to next year. But I will highlight to you that, if you use the word offsets, yes. Generally speaking, in a lower rate environment, we see inflows, right, of sweeps. I think that there are places that you can certainly better understand where we are today and we look ahead, I've stated that we're in a similar range, largely because we haven't really seen sweeps move, and you're in a position where there are stable rates. But what you will also gain over time is the increases from lending balances, which is why I've paid -- I spent a lot of time talking about that in the prepared remarks because, in my mind, that's an incredible forward-looking indicator for just the strength of the business and how we've seen an increase in household penetration from a lending perspective, so more and more of those advisers and users are thinking about our lending products on the Wealth Management side. As it will play out specifically from an interest rate perspective and sweeps, those will be likely factors that will be driven by the policy rate. But yes, generally speaking, when rates do go down, we generally see sweeps balances broadly go up.
Operator: Our next question comes from Mike Mayo with Wells Fargo.
Michael Mayo: I just want to ask about a trend of more lending through the capital markets division. So in other words, Ted, you talked about the moment or wow on your last presentation. That was memorable to me. But I think one wow to me is just to the extent that banks used to lend directly to the commercial customers and now they're lending more to nonbank financial firms than directly of any of those traditional commercial customers. So my question is, how do you see that trend, where it's been, where it's going? And how much lending do you do through your capital markets business as a percentage of the whole? Because it's all kind of jumbled together and those of us on the outside have a tough time quantifying that.
Ted Pick: That's an interesting one, Mike. I do think you're touching on -- we have to see how the regulatory environment plays out, but I think we sort of sense that the 15-year dam is breaking and that reform is in the offing. We've seen indications of that in SLR, as you know, and recent strong results from the group in this recent CCAR exam. I do think that some of the share that we ceded as an industry group at the top, the big banks writ large, the 6 of us, that, in part, was a function of regulatory limitation broadly. And that regulatory limitation may well be normalizing. And that will not so much dollar for dollar take share back from the private lending group because I think the private credit product has found its place. It is institutionalized. As you know, it's $2 trillion and growing. But I think the ability for the highly capitalized, global investment banks, especially if they have something special along with it, in our case, as you know, world-class Wealth and Investment Management businesses, we'll be able to get back after that core share around corporate product. In the mid-cap space, with corporate derivatives, to unsecured, but high-quality borrowers where perhaps we've been [ competed ] out to be more soup-to-nuts on acquisitions and complex events. There will still be a role for others to continue to flourish in the boutique space. The winners will continue to be winners. And there will be clearly a role for the sponsor community to do its thing. But I think the, I don't want to say, the vulcanization, of some of our core activities, inside of the securities business and corporate investment bank amongst the big group, I think you may begin to see, and you've indicated this, the tide may begin to shift where we can begin to again play a more central role in the governing, the stewardship of the corporate and sponsor capital markets acting as a financier, as structure and, of course, as appropriate, as the distribution and allocation engine. So I think we've got, of course, that back end in a special way. I think the front end has been splintered because there have been limitations that have been brought to the group. There's so much they can do. But I think it is clear, and this ties to the earlier answer with respect to organic or inorganic, any kind of normalization of the regulatory environment is going to afford the largest and most well-capitalized and global firms a lot of running room to prosecute core lending product with sophisticated clients. The largest, most sophisticated, highest net worth individuals are walking institutions. We have folks that are in the ecosystem who act as competitors, clients, frenemies, but they can also get incremental capacity from us. And our intention, I think, would be to be competing for additional depth with those key top ecosystem players where we don't have to worry as much about hitting a limit that is sort of preordained from notional limits that were prescribed a decade plus ago. I think it's an evolving process. We want to do that prudently. We are well aware of bouts of volatility. We're aware of sort of risk architecture. So we're in no rush to do that, which is why we are so focused on the cadence of earnings. There's a sense of consistency in who we're lending to, how we're growing the product, how we're delivering on deposits. It's all part of sort of the broader mosaic of getting to 20% returns on tangible on an ongoing basis.
Operator: Our last question comes from Erika Najarian with UBS.
L. Erika Penala: Just 2 follow-up questions. First, for you, Ted, on all the inorganic opportunity. When investors see your returns, they say, "Oh, how does an optimized [indiscernible] business continue to optimize itself?" And as I heard you talk about inorganic, I was wondering where deposits would play into your priority. I know that you have less than 10% of trading assets in the bank sub, and some of your peers have 30% to 60%. I'm wondering sort of where that would fall on your priority list.
Ted Pick: I'll give Sharon this one.  Go ahead.
Sharon Yeshaya: Sure.  So Erika, I think it's a really great point. And I think it's something we've been very focused, as you know, and I know you've written a lot about, the usage of the bank. The bank is clearly a priority for us. We put it into the strategic objectives purposefully to really talk about the fact that we see more potential growth as we think about eligibility. You obviously do need both sides of that balance sheet. For us in terms of deposits, we have grown and continue to grow and diversify our deposit base, which will allow us to support ongoing growth of eligible assets that we could put on the bank. And so this is a strategic objective. I think that it is something that we see real potential for as we move forward. And it will take time to really make sure that we do it the right way, with the right infrastructure. But what you've certainly seen is that over the course of the last 10 years, we have put a lot of investment into the bank products, into what we have to make ourselves a real bank that has the ability to service both sides of that balance sheet.
Ted Pick: And let me take the first half of your question, which is on the back of what Sharon just said. There shouldn't be a conflation around having a strategy that is clear and consistent and well-understood and a sense that we have no more runway on that strategy. The runway on that strategy is just effectively a byproduct of addressing enormous TAMs with large barriers to entry. On the one hand, you have a $6 trillion world-class wealth management business, but the current TAM is at least $60 trillion. So we're the leader, but we only have a 10% share. In the Investment Bank, we are a global leader, we have 15% share. Both of those businesses, as you know, are secular growers. In the Investment Management business, we are working a way to grow our [indiscernible] assets business, our private credit businesses, our liquidity businesses. Those businesses are now, on an organic, basis have the kind of runway where a very good argument could be made across -- I'll give you examples in all 3 divisions and inside of infrastructure as well, where the best answer may be to just hew to the core strategy of raise, manage and allocate capital by continuing to invest in those businesses, to grow them through the power of AI but also through the extension of credit and to work closer with clients. It may also be the case though that inorganic opportunities come across the transom that give us incremental perspective or breadth. But the bar is quite high, not because we're not sure what we want to do next. But in fact, because we do know what we want to do next, the best use of capital is probably to continue to hammer away inside of the business given that the level of excess capital that we hold is incrementally growing at this point in the cycle. If something comes through that is additive to the capability that we already have, we're going to go and do that. But the IM example, referencing back to Glenn's question, is an appropriate one where we have pockets of builds that are going to pay off for 5, 10 years with durable streams where we may not need to go inorganic. We may be able to just hew to the organic. The inorganic opportunity being folded inside of the organic build is the likely way we are going to go.
Operator: There are no further questions at this time. Ladies and gentlemen, this concludes today's conference call. Thank you, everyone, for participating. You may now disconnect, and have a great day.